Operator: Good morning, ladies and gentlemen and welcome to the Phreesia Fiscal Second Quarter 2022 Earnings Conference Call. [Operator Instructions] First, I would like to introduce Balaji Gandhi, Senior Vice President, Investor Relations for Phreesia. Mr. Gandhi, you may begin.
Balaji Gandhi: Thank you, operator. Good morning and welcome to Phreesia’s earnings conference call for the fiscal second quarter of 2022, which ended on July 31, 2021. Joining me on today’s call are Phreesia’s Chief Executive Officer and Co-Founder, Chaim Indig and Chief Financial Officer, Randy Rasmussen. A complete disclosure of our results can be found in our earnings press release issued yesterday evening as well as in our related 8-K submission to the SEC. Our 8-K filing also includes our quarterly stakeholder letter. These documents are available on the Investor Relations section of our website at ir.phreesia.com. As a reminder, today’s call is being recorded and a replay will be available following the conclusion of the call. During today’s call, we will make forward-looking statements within the meaning of Section 27A of the Securities Act and Section 21E of the Securities Exchange Act. Although we believe that the expectations reflected in these forward-looking statements are reasonable, these statements relate to future events or our future operational or financial performance and involve known and unknown risks, uncertainties and other factors that may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by these forward-looking statements. Furthermore, actual results may differ materially from those described in the forward-looking statements and maybe affected by a variety of risks and factors that are beyond our control, including without limitation, statements about our future financial performance including our revenues, cash flows, cost of revenue and operating expenses, our anticipated growth, our predictions about our industry, the impact of the COVID-19 pandemic on our business, and our ability to attract, retain and cross-sell to healthcare provider clients. Statements are also subject to other risks and uncertainties, including those more fully described in our filings with the SEC, including in our quarterly report on Form 10-Q that will be filed with the SEC later today. Forward-looking statements made on this call speak only as of the date on which the statements are made. We undertake no obligation to update and expressly disclaim the obligation to update any forward-looking statements to reflect events or circumstances after the date of this call or to reflect new information or the occurrence of unanticipated events, except as required by law. We will also refer to certain financial measures not in accordance with generally accepted accounting principles in order to provide additional information to investors. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results maybe found in our earnings press release and supplemental materials, which were furnished with our Form 8-K after the market closed on September 1 with the SEC and may also be found on our Investor Relations website at ir.phreesia.com. As a reminder, we are participating on today’s call from three different locations. So we appreciate your patience with us. I will now turn the call over to our CEO, Chaim Indig.
Chaim Indig: Hello. As Balaji mentioned yesterday, after the markets closed, we filed our fiscal second quarter earnings press release and stakeholder letter. We hope everyone has had a chance to review our results. Phreesia achieved an important milestone in our ninth quarter as a public company by surpassing $50 million in revenue for the first time. Our revenue and growth in the second quarter could not have been achieved without the continuous and accelerated investments we have made across the organization. We appreciate everyone finding the time to join us before the Labor Day long weekend, particularly all of you in the Northeast, who are having to manage last night’s storm. We hope all of you are staying safe. Operator, we can open up the call for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Anne Samuel from JPMorgan. Your line is open.
Anne Samuel: Hi, guys. Congratulations on the solid results. I am just hoping maybe you could talk a little bit about balancing operating expenses of growth. So, your operating expenses were up pretty significantly in the quarter. I was just hoping you could help us understand what that means for your future growth expectations just given the second half guide looks a little bit closer to your 20% long-term target?
Chaim Indig: Sorry, I didn’t hear the last part of your question, Anne, just cut out for me. Can you just repeat it? Sorry about that.
Anne Samuel: Sure. So I was just hoping that you could help us understand what the expenses in the quarter means for your future growth expectations just given the implied back half guidance, just looks a little bit closer to your 20% longer term target?
Randy Rasmussen: Yes, Anne, I can take this. I think if we look at the quarter, as Chaim said, this is our first quarter over $50 million, in which we are really proud of as a company. We did really well. We grew 46% overall, 35% in provider revenue and we are really strong in life sciences at 95%. And I think as we look at the second half of this year, we had mentioned this in the Q1 call is that COVID affected us quite a bit last year from a patient volume and payment spending level. And in our payments business, it’s driven by the patient responsibility piece. And so that’s typically higher at the beginning of the year when the deductibles roll over and it declines during the year. And I think as we look forward this year, a lot of that payment revenue subject to some of the dynamic nature of COVID and the pandemic and what that impact will be on payment levels and patient visits.
Anne Samuel: That’s really helpful. Thanks. And then maybe I was hoping you could provide some color around what return to work looks like for you and your client base and if vaccinations or the Delta variant are playing any part in that?
Chaim Indig: So, I am really glad you asked that question. The – our general view is that we – so we are a virtual company, but we have started to really get together as teams and organizations throughout the country. And we – as a company, we have mandated vaccines. A lot of our clients have mandated vaccines and we are – but we are also being wildly cautious about where we – how we engage, when we engage, but we think engagement with each other and with our clients is very, very important. And we are really excited to be getting together internally and getting – a lot of our team has grown significantly. So, getting to – people actually getting to know each other face to face, I think is very important, but also being front and center with our clients, which they have been really – it’s been really nice to see them and a lot of our prospects.
Anne Samuel: That’s really helpful. Thanks, guys and congrats on the quarter.
Chaim Indig: Thanks, Anne. Be safe.
Operator: Your next question comes from Ryan Daniels from William Blair. Your line is open.
Ryan Daniels: Yes, guys. Thanks for taking the question. In your prepared comments last night, you talked about more expansion in entry level packages as well as kind of driving more modular head-on. So I am curious if you can offer more color, pardon me, on the average details at entry. Is that bigger customers, customers buying more? And then what type of add-on velocity or specific products are you seeing more actively in the current market? Thanks.
Chaim Indig: So Ryan, I think you are in the only part of the country that hasn’t been hit by anything, first off, so good job on being in the middle of the country. I think our view is we want people to start being free to clients as easy and as fast as possible. And as an organization, we want to give them whatever tools they need in whatever location. So, sometimes and more often than not, it’s a land where we are building trust with the organization as a product led growth organization. Sometimes it’s with one of our various products and we are getting it in at a pretty low cost so that they could start getting really comfortable with how we could help them accelerate their patients, accelerate their cash flow, deal with labor shortages. So we are providing a suite of all the different ways we could help improve how hard it is right now to run a health system, a physicians group, right or a small practice. And so we are doing it in small chunks. We are doing it in large chunks. We are doing it with different types of products. And having that arsenal of different abilities empowers our organization to do what we do great, which is help our clients deal with the multiple challenges that they face, while at the same time starting to build that really strong trust relationship that we build with our client base.
Ryan Daniels: Okay. I appreciate that color. And then just as a follow-up on the investment spending, obviously, a leading indicator tends to be your level of SDR, so can you speak a little bit to the sales and marketing expense? And is the uptick there related to current quarter commissions for future sales, maybe you could talk about the size of the SDR base versus a year ago or is it more of a return to normalcy and really advertising and marketing to drive new customer leads at the top end of the funnel? Thanks, guys.
Chaim Indig: So, I would say it’s – we are spending across the board in sales and marketing. And I think the – our marketing, our lead-gen team has been doing phenomenal to answer your question. I want to say, I think I checked, I think we were at 174 as of the end of July, SDRs, Ryan. Last – at the start of the year, we were at 100. Now albeit, I do want to stress, this is usually a hard watermark for the year, because we tend to do a lot of graduate hiring. So, this tends to be – in the summer, people graduated and this is often their first job. So we are really excited that they have chosen Phreesia as the first place they work and also a continuous ramp up on our implementation organization and our CSM team, which is really helping to facilitate taking clients live and getting them using more products.
Ryan Daniels: Okay. Very helpful. Thank you, guys. Congrats on the strong quarter.
Chaim Indig: And Balaji wants to clarify I think it was 106, not 100 at the start of the year. Is that right, Balaji?
Balaji Gandhi: That’s right.
Chaim Indig: Alright. So I want to get it right.
Operator: Your next question comes from John Ransom from Raymond James. Your line is open.
John Ransom: Hi, good morning. Couple of things. You are sitting on a lot of cash, which is a high class problem. So what complications if any does that create in terms of time spent evaluating potential opportunities? And then secondly, maybe just a little more understanding, I mean, obviously, you are spending a lot more on not just marketing, but product development. I know you have put a lot of effort into appointment scheduling, but what other kind of linear extensions to your product suite are you investing in this year? How should we think about that adding to your opportunities in the outyears?
Chaim Indig: John, there were so many questions. I mean, I have a hard time remembering them all. I should have written them down. Alright. So well, we are and we will always remain very thoughtful in our use of capital. We believe as an organization capital allocation is one of the most important things we do. And in terms of M&A, one of the reasons we feel very comfortable about the aggressive investments we are making is that based on what we see in the market in terms of acquisition opportunities, the returns we are getting on our organic growth initiatives are looking very attractive. And we will continue to empower our operators across the board and we put our product organization as operators like they think like operators and owners of the company everywhere and we want to empower them to make really smart investment decisions to our existing products, existing growth initiatives and new products. And we are actually investing heavily in new areas of growth. And whenever we’re ready, I promise Balaji will make us tell everyone. But right now, we want to give as much air cover to those folks as possible to be able to build out their ideas and see how they are successful and really, frankly, drive value for all of our stakeholders, including our customers and employees. So we feel pretty good about a lot of the investments we’re making. And there is a lot – they are reporting on them all the way up on a regular basis
John Ransom: Thanks.
Operator: Your next question comes from Donald Hooker from KeyBanc. Your line is open.
Donald Hooker: Great. Good morning, thank you for taking my questions. So I was curious if – I guess, Veeva reported last night kind of talked about wage pressures and kind of being aggressive, kind of raising comp. And I’ve seen – I guess software developers are in demand. Software people are in demand. We’ve seen other sort of software companies. And I’m looking at your numbers here for the quarter, and I’m wondering if you’re seeing kind of wage pressures on some of the software talent and how you’re thinking about that going forward?
Chaim Indig: I don’t – so I think what Veeva did – I don’t – I wasn’t listening to their call, but I read some of the notes. And I think we’re seeing not just in software engineering, but across the board, like there is a general view that exceptional talent should be paid well. And we have a plethora of really amazing people at Phreesia. We want to continuously make sure that we’re paying them appropriately. And that’s part of – it’s always been part of our philosophy that compensation – that if you work hard, you should get paid very well. But I wouldn’t just say it’s software engineering. I’d say it’s across the board. Randy, would you agree?
Randy Rasmussen: Yes. And that is part of our spending increases, increasing pay for top performers.
Donald Hooker: Great, thank you. And then one other real quick one, I was curious as I look at your payment processing fee revenue, it moves around a lot, obviously. But are there more or less, I guess, probably less patients of your clients that are on payment plans? And does that somehow, I guess, does sort of that change in use of payment plans factor in changing your payment processing fees?
Chaim Indig: It doesn’t actually for us, because we don’t charge. It’s usually just card-not-present when you’re on a payment plan. But generally, I don’t think it has massive fluctuation in our payment volume, but we have seen an uptick over the years as deductibles have gotten bigger, that more patients aren’t able to pay their whole bill. And we think it’s important that – and sort of our clients that they are given the ability to pay reasonably over time. The vast majority of the payment plans are interest only – or I mean no interest.
Donald Hooker: Okay, super. Thank you for your comments. Have a good day.
Chaim Indig: Sure. I appreciate.
Operator: Your next question comes from Sean Wieland from Piper Sandler. Your line is open.
Sean Wieland: Thank you very much. Good morning. So I’m still a little bit stuck on the growth on OpEx. Maybe if you could take it line by line to the three lines in OpEx. What – how much was wage increases? How many FTEs were added? And I guess I get the investments in R&D, you were talking to Ryan, about, and – but G&A was up a lot, still just not quite clear on the sudden acceleration in OpEx?
Randy Rasmussen: Chaim, do you want me to take that or you want to?
Chaim Indig: Yes, go for it.
Randy Rasmussen: Yes. So I think across the board, I mean where we’re investing is in sales and marketing, and R& D. I think it’s important for us, we’ve always been a product-led company and our product sells itself. And I think as we make investments across the board, in our investor deck, I think it’s Slide 8 where we talk about the different modules that we have. From a headcount perspective, the headcount is slightly north of 1,200 this quarter. So we did add quite a bit in sales and marketing, primarily in the R&D areas. From a G&A perspective, I guess one of the things that we also mentioned is that we did live with the new ERP system this quarter, which was a project that we launched last year. And we did it entirely remotely, so we’re really proud of the organization. We felt as a public company, it’s really important to have a robust ERP system and important investment for us to scale the company and really have strong controls over our spending in our financial reporting.
Sean Wieland: Could you quantify the number of FTE adds in the quarter?
Randy Rasmussen: I think our ending headcount was 12 – slightly north of 1,200 employees.
Chaim Indig: Yes, I was just looking here. It was 1,238 for the end of July. And Sean, in our 10-K, you’ll see we had 827 as of January 31, 2021, so that’s sort of the growth you can see.
Sean Wieland: Okay. That’s super helpful. Thanks. And in the – I want to ask about the health campaigns. Is there any interest among your clients or any efforts on your part to aim health campaigns of addressing vaccine types across the patient base to decline?
Chaim Indig: Sean, we have been using it aggressively with our clients to use health campaigns, that is a point you add to the spear for vaccine hesitancy and getting them into groups that are providing vaccine. So and it’s been very, very effective at both getting folks in for their vaccine where we – and we are very strong believers based on the data that healthcare providers are a great place to deliver vaccine and make folks more comfortable. People trust their healthcare providers more than almost anyone else. And so having their health care providers drive vaccine adoption, awareness and deliver the vaccine is really important and health campaigns has been very successful in the practices and health systems that turn it up. And what’s really nice about it, too, is it’s a good way for them to get using that product. And once they do, they start realizing they could use it for a lot of other campaigns to drive real outcomes and patient visits.
Sean Wieland: Thanks for that.
Chaim Indig: Thanks.
Operator: Your next question comes from Scott Schoenhaus from Stephens. Your lien is open.
Scott Schoenhaus: Hi, Chaim. So not to belabor the point, but just to drill into the investments you’re making on the R&D side. Chaim, is it fair to assume that this growth is coming mostly from additional software engineers that are needed to customize service offerings for specific customers? And any impacts from going upmarket to larger hospital systems on these investments?
Chaim Indig: From the R&D spend, our R& D team does very little like customization per client basis. So it’s less – it’s really on building product. And it’s about adding software engineers and product managers and QA all across the board, so that we can continuously build amazing product for our customers, and it’s for big customers and little customers. And what we really try to do is – and we believe that strongly, a lot of the products that we build for big or small tend to be used interchangeably, right? Because whether you’re a massive health system, you still have a lot of the same problems. And what we’ve seen is a lot of the things that we’ve built in the acute space and in hospitals are now being used for workflows in very small practices, and it’s been wonderful to see. And we empower our product organization to build scaled products, and we really focus on driving usage, right? And so if you build a great product and people use it, you’re able to monetize it continuously for years, and it becomes really sticky and it becomes a phenomenal flywheel of growth. But if I look at our product investments, it’s on adding more architects and engineers and product managers and QA and really making sure we have – we continue to invest over the long-term in building something of significant value for all of our stakeholders.
Scott Schoenhaus: No, that’s great. That makes perfect sense. Chaim, you mentioned earlier on the call an anecdote about helping customers who are seeing hiring issues or labor shortages. Are you seeing this as a catalyst for demand across your customer base or is it particular to specific sizes of customers or locations? And thanks for your time.
Chaim Indig: Look, I think this isn’t just – this is an acute problem across the board for all of our customers, big and small. I was with a client – a long-time client the other day, and he was saying that they are – and it’s like a good-sized regional group, and I was at the time and said there are 130 people below where they are budgeted to be. And then I said, how can we help, because are you kidding me? I don’t think we’d be able to open up locations right now if it wasn’t for Phreesia. So we feel like we’re – not only are we making a difference for our clients today, giving them the ability to see patients, but it’s a very large catalyst for why people are implementing technology. No one feels good about cutting bodies. It’s not why anyone enters healthcare. But what they do feel good about is treating patients, and we’re helping them do it in a much more efficient manner than what they have done. And so yes, we are seeing it as a significant catalyst. Wage pressure is everywhere across the country.
Operator: Your next question comes from Iris Long from Berenberg. Your line is open.
Iris Long: Hi, good morning team. Thanks for taking the question. So my first one is on hiring and so given that you have hired a bunch of people recently, should we expect more hiring in the second half? And that usually, how long does it take to fully train them? Considering the sale cycle that typically last for a couple of months, is it fair to say that we should wait for at least a couple of quarters before we see some impact on the revenue line?
Chaim Indig: We are not expecting to slow down our hiring. We’ve been – in certain areas, I think we will see more and others will see less, and it will vary depending on what the needs of the operators are moving forward. And they are in order to make a lot of those decisions. And this year’s results are a result of hiring and investments we’ve made over the previous years. And so the way we think about it is the investments we’re making now should pay out for years in the future, and we tend to think out in years less in terms of quarters.
Iris Long: Okay, got it. And then just a follow-up to that in terms of your investment philosophy, at this current investment level, are you still aiming at a 20% long-term growth or could it be higher? And then maybe at what point should we kind of expect the investment to level off with it?
Chaim Indig: I think we will talk about our future growth levels at the end of this year, beginning of next year. I think that’s what we’ve done historically in the past, and that’s what we will do in the future. Balaji will brand with it. Is that right?
Randy Rasmussen: Yes. I mean I think when you look at 20% and you look in the far future I think that’s still an appropriate metric, but in the near-term, growth rates may fluctuate as we make these investments.
Iris Long: Okay.
Randy Rasmussen: Yes. And I think if you look at our guidance range, we are guiding to $195 million to $198 million, so 31% to 33% growth for this year.
Iris Long: Okay. Thank you.
Operator: Your next question comes from Ryan MacDonald from Needham & Company. Your line is open.
Unidentified Analyst: Hello. This is Alex on for Ryan, just two for me. In the quarter, we saw continued strength in the life science division. Was the strength primarily due to strong execution or more favorable market dynamics?
Chaim Indig: I think that team has continued to do a wonderful job. And we are all – as an organization, and we got together as a leadership team, we are all really just proud of how they have executed. And even if the market dynamics – and we do believe the market dynamics have been favorable, but you have to be able to execute upon favorable conditions to be able to perform what we did. And so I think we were able to take advantage of good market dynamics and execute unbelievably well. And that team is just doing a great job and we are proud of them.
Unidentified Analyst: Okay. And then we have seen a growing amount of VC funding in the space. Is that changing the competitive landscape, or is it impacting the RFP process at all?
Chaim Indig: Look, we have been doing this for 16 years. We are seeing VC funding come in and out. I think what we have generally seen with our client base is they like to see working new products as opposed to slides and ideas. So, I think this quarter we just had speaks for itself, but we feel pretty good about our ability to help our clients quickly deal with the problems that they are facing today, and we haven’t really seen that affect us materially.
Unidentified Analyst: Okay, great. Thank you.
Operator: Your next question comes from Joe Goodwin from JMP Securities. Your line is open.
Joe Goodwin: Well, great. Thank you so much. Can you talk about – I know it’s early days, but can you talk about the Physician Connect program that you guys have been working on for a little bit? And just kind of how that’s going and the traction you are seeing there? Thank you.
Chaim Indig: It’s a really cool offering. It’s been live in a couple of markets. I think it’s provided a phenomenal amount of value to the organizations that have gone live with it. I think it’s still really early days for us to comment on any of the performance, but we feel really good about how that team is doing. We continue to aggressively invest in the product, and that team. And we think it’s going to make a material difference to just so many patients being able to get care. And nice work finding that out, like you really got to do research to figure out the markets we are in on that and what’s happening. So, it’s pretty good. I think that’s the first question we have had on it and the product has been in market for over a year.
Joe Goodwin: Thank you.
Operator: Your next question comes from Richard Close from Canaccord Genuity. Your line is open.
Richard Close: Thank you. Good morning. Congratulations. In the letter last night you talked about the revenue performance and being able to pull-forward from the pipeline, I was just wondering if you could characterize that a little bit, the current state of the pipeline? And when you talk about pulling forward, what’s the ability in terms of being able to refresh or refill the pipeline based on the accelerated success you are seeing?
Chaim Indig: Well, what we have – if we didn’t feel good about continuously refreshing, we wouldn’t be hiring across the board. And a lot of that pull-forward has been just really strong teamwork between our SCR organization, our sales organization, our implementation organization, our CSM organization are really coordinating and pulling through and making what a client becomes a client. First, when they become an opportunity making them a client as fast as possible and when they become a client, getting them live as fast as possible so that they convert as fast as possible. We have been getting them into the network. And we have seen the team just work just so well together. And I think we are all just very surprised given – and happy with the outcomes considering so many new members of the team have joined and they have just – they have really been able to make a big impact pretty quickly and helping these clients get live and making a difference to their practices, which is what we are all here for. Frankly, we have to keep filling that back top of the funnel, and we feel pretty good that the organization is going to keep doing it.
Richard Close: Okay. That’s helpful. And a follow-up on the competitive question a couple of minutes ago. Can you just like go over what you think is the main differentiation for Phreesia? As you go out and compete, it is a pretty crowded field. But what’s the feedback you are getting as people are signing on and just curious your thoughts?
Chaim Indig: I think it really depends on the client, right, and what their problem is. But on a high level, the number one thing we hear is we have a great offering for all of people’s patients that they get unbelievably high self-service rates and phenomenal ROIs, and we work and we work really, really quickly, and we make an impact to their organization and their satisfaction rates and their staff like it, and we know how to get it working. And in the world of technology, having an idea is one thing, making that idea work at scale is actually really hard, and it requires both a ton of investment and phenomenal people. And so we do what we say we are going to do, and we make a huge impact. And when we talk to our clients, that is ultimately the biggest differentiator, and they tell other prospects, right. No one really wants to buy a product that doesn’t work, right, or it doesn’t do what it says it does, and we do that. We sell a product that makes a big difference, and we could articulate it and make it happen pretty quickly.
Richard Close: Great. Thanks.
Operator: Your next question comes from Sean Dodge from RBC. Your line is open.
Thomas Kelliher: Hey, good morning. This is Thomas Kelliher on for Sean. Thanks for taking my questions. So, maybe going back to product adoption, you all talked about some of the newer clients opting for more products upfront than maybe a couple of years ago. So, broadly speaking, if you think about penetration from a product or even a total revenue standpoint, where is the existing client base relative to full penetration? So, based on existing products, is there a lot of up-sell opportunity you mean?
Chaim Indig: I think we have a fair bit of runway to be able to continuously add a lot of value to our clients, our existing clients by having them adopt more of our offerings. And we have seen that over time, they continue to an adoption. And we make it easy. And sometimes, it’s a timing issue. Sometimes it’s a feature function issue for a specific offering. But generally, we think we have a fair bit of runway still 2x to 3x growth depending on the types of clients.
Thomas Kelliher: Okay, perfect. Thank you. And then on the life sciences, can you give us a sense of the cost structure and margins on that side? And maybe how we should think about that segment evolving as a mix of total revenue over time?
Chaim Indig: Randy, do you want to take that?
Randy Rasmussen: Yes. I mean, I think we get this question a lot. I mean, life science is really part of our platform. So, the same patients that are using intake that are on the same platform that’s delivering the digital messages from life science, so it’s not really broken out internally, because it’s shared costs on the technology side. We do have a dedicated team for sales and content creation. But it fluctuates over time and it can be lumpy, but it’s a good business.
Thomas Kelliher: Okay, great. That’s all for me. Thanks guys.
Operator: We have one more question from Stephanie Davis from SVB Leerink. Your line is open.
Joy Zhang: Hi. This is Joy Zhang on for Stephanie. Thank you for taking my question. Veeva and a couple of other health tech companies have called out a trend where pharma companies are meaningfully reducing their sales rep headcounts as the industry moves towards digital advertising. Can you give us a sense of how this trend could impact your life sciences business?
Chaim Indig: Well, I think the trend has been our trend. I think that’s the term. And our – we have seen a fair bit of growth in our life sciences revenue stream. And I think we invested over the last couple of years, and we have been very pleased with the returns. And I think a lot of like its put us in a position to be able to capture continuously more growth, and I am proud of the team. But I do think that we are seeing dynamic changes, but a lot of it to me seems sort of common sense. I don’t think a lot of practices are letting because of COVID only got a lot of practices that are letting sales reps in to visit them. So, they probably should and are reducing them.
Joy Zhang: That’s helpful. And just a quick one on the sales and marketing side, you mentioned that most of the new hires tends to be new grads, but I was wondering if the mix is tilted more towards the senior side within your acute business just given the strong relationships required in the end market or is there a different…?
Chaim Indig: Sorry, I missed the first part of the question. Can you repeat that?
Joy Zhang: Yes. Just within the new hires, you mentioned they tend to be the new grads. But are they more senior within the acute businesses, just given the relationships required?
Chaim Indig: So, we have a very – we have this amazing early career program across the board. And what we hope to do – and we hire – we do hire people outside of early career throughout the organization also. But a lot of our hiring is in early career. And what we hope is that – and what we have seen is that over time, those early career folks become more senior of the company and are able to work with more complex organizations. And historically, we have seen that occur where we – and seniority is in the eye of the beholder. We are looking for our people to be able to do it as opposed to just age. But yes, we have seen people matriculate continuously to be able to handle and work with large complex organizations. And with that, I look forward to speaking with all of you in the fall. And thank you for your continued interest. And be safe and have a nice Labor Day.
Operator: Thank you. I would now like to turn the call over to Mr. Chaim Indig for closing remarks.
Chaim Indig: I think I said them, so look forward to speaking to everyone in the fall, and thanks for your continued interest.
Operator: Thank you. This concludes today’s conference call. Thank you all for joining. You may now disconnect.